Operator: Welcome to the M&T Bank Fourth Quarter and Full-Year 2018 Earnings Conference Call. It is now my pleasure to turn the floor over to Don MacLeod, Director of Investor Relations. Please go ahead, sir.
Don MacLeod: Thank you, Laurie, and good morning, everyone. I’d like to thank you all for participating in M&T's fourth quarter and full-year 2018 earnings conference call both by telephone and through the webcast. If you’ve not read the earnings release we issued this morning, you may access it along with the financial tables and schedules from our Web site www.mtb.com, and by clicking on the investor relations link and then on the Events and Presentations link. Also, before we start, I’d like to mention that comments made during this call might contain forward-looking statements relating to the banking industry and to M&T Bank Corporation. M&T encourages participants to refer to our SEC filings, including those found on forms 8-K, 10-K, and 10-Q, for a complete discussion of forward-looking statements. Now, I would like to introduce our Chief Financial Officer, Darren King.
Darren King: Thanks, Don, and good morning, everyone. As noted in this morning's earnings release, M&T's results for the fourth quarter were characterized by a continuation of the trends we've been seeing over the first three quarters of 2018. These include: further expansion of the net interest margin, growth in net interest income, growth in noninterest revenues with trust fees remaining a highlight, expenses that continue to be well-controlled in a credit environment that remains solid. One positive aspect of the fourth quarter's results was a notable pick up in commercial and industrial lending which contributed to aggregate net loan growth for the quarter. Highlights for the full-year of 2018 include 7% growth in taxable equivalent net interest income driven by rising asset yields coming as a result of further increases in short-term interest rates initiated by the federal reserve combined with a manageable pace of deposit price increases. Credit improved from the already strong level seen over the past three years with net charge-offs as a percentage of loans the lowest since 1987. While loan growth did not meet our expectations, that subdued growth enabled us to return the excess capital we generated back to our shareholders. For the year, M&T repurchased $2.2 billion of common stock and paid $508 million of common dividends to our shareholders. That resulted in a 146% payout ratio for the year. The repurchase program resulted in a 5.5% decline in average diluted shares for the full-year of 2018 when compared with 2017. Now let's look at the specifics for the fourth quarter. Diluted GAAP earnings per common share were $3.76 for the fourth quarter of 2018, improved from $3.53 in the third quarter of 2018 and $2.01 in the fourth quarter of 2017. Net income for the quarter was $546 million compared with $526 million in the linked quarter and $322 million in the year-ago quarter. On a GAAP basis, M&T's fourth quarter results produced an annualized rate of return on average assets of 1.84% and an annualized return on average common equity of 14.8%. This compares with rates of 1.8% and 14.08% respectively in the previous quarter. Included in the GAAP results in the recent quarter were after-tax expenses from the amortization of intangible assets amounting to $4 million or $0.03 per common share, down slightly from the prior quarter. Consistent with our long-term practice, M&T provides supplemental reporting of its results on a net operating or tangible basis from which we have only ever excluded the after-tax effect of amortization of intangible assets as well as any gains or expenses associated with mergers and acquisitions when they occur. M&T's net operating income for the fourth quarter, which excludes intangible amortization was $550 million compared with $531 million in the linked quarter and $327 million in 2017's fourth quarter. Diluted net operating earnings per common share were $3.79 in the recent quarter compared with $3.56 in the third quarter of 2018 and $2.04 in the fourth quarter of 2017. Net operating income yielded annualized rates of return on average tangible assets and average tangible common shareholders' equity of 1.93% and 22.16% in the recent quarter. The comparable returns were 1.89% and 21% in the third quarter of 2018. In accordance with the SEC's guidelines, this morning's press release contains a tabular reconciliation of GAAP and non-GAAP results, including tangible assets and equity. Both GAAP and net operating earnings for the fourth quarters of 2018 and 2017 were impacted by certain noteworthy items. Included in the fourth quarter 2018 results was a $20 million contribution to the M&T Charitable Foundation. That amounted to $15 million after-tax effect or $0.11 per common share. Also included in 2018's fourth quarter was a $15 million reduction in M&T's provision for income taxes, arising from an IRS approved change in tax treatment of certain loan fees which was retroactive to 2017. This also amounted to $0.11 per common share. Included in the fourth quarter of 2017's results were $21 million of realized gains on investment securities, which amounted to $14 million after-tax effect or $0.09 per common share. Also reflected in the fourth quarter of 2017 results was the contribution to the M&T Charitable Foundation of $44 million, which amounted to $27 million after-tax effect or $0.18 per common share. M&T's effective tax rate for 2017's fourth quarter was impacted by the changes to the federal corporate income tax rates. M&T's provision for income taxes for that quarter was increased by approximately $85 million amounting to $0.56 per common share as a result of those tax law changes. As a reminder, the year-over-year comparisons for both GAAP and net operating earnings were impacted by the reduction in federal corporate income taxes for 2018. Turning to the balance sheet and the income statement. Taxable equivalent net interest income was $1.65 billion in the fourth quarter of 2018, up $30 million from the linked quarter. The net interest margin improved to 3.92%, up 4 basis points from 3.88% in the linked quarter. We estimate that the shorter -- excuse me, we estimate that higher short-term interest asset -- interest rates following the fed September and December rate actions, added a benefit to the margin of as much as 6 basis points. Cash interest received on acquired loans combined with a slightly higher level of prepayment fees added an estimated 2 basis points to the fourth quarter margin. A higher average balance of funds placed on deposit with the fed had an estimated 4 basis point dilutive effect on the margin. The higher cash balances were primarily the result of increased trust demand deposits and the continued slow pace of reinvestment of cash flows from investment securities. Average loans increased less than 1% compared with the previous quarter. The ongoing runoff of residential real estate loans primarily acquired Hudson City mortgage loans was more than offset by growth in other loan categories, which increased $754 million or 1.1% from the third quarter. Looking at the loans by category, on an average basis compared with the linked quarter, commercial and industrial loans were about 3% higher than in the prior quarter. This included a $275 million seasonal increase in loans to auto dealers to finance their inventories combined with a $411 million increase in other C&I loans. Commercial real estate loans were down less than 1% compared with the third quarter with modest growth in construction loans offset by a lower level of commercial mortgage loans as a result of paydowns and a decline in loans held for sale. Residential real estate loans which are largely comprised of mortgage loans acquired in the Hudson City transaction continued the expected pace of paydowns. The portfolio declined about 3% consistent with previous quarters. Consumer loans were up 2% with growth in indirect auto and recreation finance loans outpacing continuing declines in home equity lines and loans. Regionally, in addition to the multi-region seasonal rebound in floor plan lending, Pennsylvania and our Metro region, which includes New York City, Philadelphia, and Tarrytown, realized the strongest growth in C&I loans. New Jersey was the bright spot for CRE loans. Average core customer deposits, which exclude deposits received at M&T's Cayman Islands Office and CDs over $250,000 were up about 4% annualized compared with the third quarter. The higher levels of trust demand deposits I mentioned previously were the primary driver of the increase. Turning to noninterest income. Noninterest income totaled $481 million in the fourth quarter compared with $459 million in the prior quarter. The quarter's results included $4 million of security valuation gains on our remaining portfolio of GSE preferred stock compared with the $3 million loss in the third quarter. Mortgage banking revenues were $92 million in the recent quarter compared with $88 million in the linked quarter. Residential mortgage loans originated for sale were $412 million in the quarter, down about 24% compared with the third quarter. A decline in origination revenues was partially offset by higher residential servicing fees attributable to a subservicing portfolio we on boarded during the third quarter. Total residential mortgage banking revenues including both origination and servicing activities were $57 million compared with $59 million in the prior quarter. Commercial mortgage banking revenues were $35 million in the fourth quarter, up from $29 million in the linked quarter. Trust income was $135 million in the recent quarter, up slightly from $134 million in the previous quarter and up 4% from $130 million in 2017's fourth quarter. New business generation continues to be strong, while the weakness in equity markets during the quarter was a modest headwind. Service charges on deposit accounts were $109 million essentially unchanged from the prior quarter. Trading and FX gains were $17 million, improved by $11 million from the prior quarter largely reflecting customer interest rate swap activity coming as a result of the improved pace of commercial lending. Turning to expenses. Operating expenses for the fourth quarter which exclude the amortization of intangible assets were $797 million. As I mentioned earlier, the fourth quarter's operating expenses reflected a $20 million contribution to the M&T Charitable Foundation. Excluding the contribution, operating expenses increased by $7 million from $770 million in 2018's third quarter. That increase reflects higher salaries and benefits attributable to one additional working day during the quarter and increased incentive compensation expense arising from last year's solid financial performance. The remaining expense categories in aggregate were essentially flat with the prior quarter with the elimination of the FDIC's large bank surcharge being partially offset by higher other cost of operations. The efficiency ratio, which excludes intangible amortization from the numerator and securities gains or losses from the denominator of which does include the charitable contribution was 51.7% in the recent quarter, increased slightly from 51.4% in the previous quarter. The ratio was 54.7% in 2017's fourth quarter. Next, let's turn to credit. Our credit quality continues to be largely in line with the trend seen over the past few quarters, indeed, consistent with the trend seen over the past few years. Annualized net charge-offs as a percentage of total loans were 17 basis points for the fourth quarter of 2018 compared with 7 basis points in the third quarter. Recall that the third quarter's results included a sizable $13 million recovery on a previously charged-off CRE loan. The provision for credit losses was $38 million in the recent quarter, essentially matching net charge-offs. The allowance for credit losses was $1 billion at the end of December and the ratio of the allowance to total loans was 1.15% at the end of 2018. Nonaccrual loans increased by $23 million at December 31 compared with the end of the prior quarter. The ratio of nonaccrual loans to total loans increased by 1 basis point ending the quarter at 1.01%. We did see a rise in criticized loans during the quarter, primarily driven by a couple of large loans with unique circumstances. Loans 90 days past due on which we continue to accrue interest excluding acquired loans that have been marked to a fair value discounted acquisition were $223 million at the end of the quarter. Of these loans, $192 million or 86% are guaranteed by government related entities. Turning to capital. M&T's common equity Tier 1 ratio was an estimated 10.13% compared with 10.46% at the end of the third quarter. The decline reflects retention -- the decline reflects earnings retention during the fourth quarter, share repurchases and the impact of the improved loan growth, which in turn led to higher end of period risk-weighted assets. M&T repurchased $500 million of its common stock during the quarter. As noted earlier, for the full-year of 2018, M&T repurchased 12.3 million shares of its common stock valued at $2.2 billion and paid $508 million of common dividends to our shareholders. This resulted in a 146% payout ratio for the year. Next I’d like to take a moment to cover the key highlights of 2018's full-year results. GAAP based diluted earnings per common share were $12.74, up 46% from $8.70 in 2017. Net income was $1.92 billion improved from $1.41 billion in the prior year. These results produced returns on average assets and average common equity of 1.64% and 12.82%, respectively. Net operating income, which excludes intangible amortization was $1.94 billion improved from $1.43 billion in the prior year. Diluted net operating income per common share was $12.86, also up 46% from $8.82 in 2017. Net operating income for 2018 expressed as a rate of return on average tangible assets and average tangible common shareholders' equity was 1.72% and 19.09%, respectively. We note that the full-year improvement in GAAP and net operating earnings included a sizable benefit from lower U.S corporate tax rates. However, the year-over-year improvement notwithstanding lower taxes was significant. Pre-tax GAAP and net operating income both improved by 8%, while diluted common shares outstanding declined by 5.5% as a result of the repurchase activity. Now turning to the outlook. Looking forward into 2019, our outlook is fairly consistent with the one we shared on this call last January. While GDP growth may slow from the pace seen in 2018, we still expect it to be at a level consistent with the average annual rate of growth seen in the last -- seen since the last recession ended. Unemployment remains very low and both consumer and commercial customers financial positions are healthy. Consumer confidence remains relatively high, although commercial customers are slightly more cautious. In addition, there continues to be measurable progress toward a regulatory approach tailored for banks like M&T. However, with the usual caveat that events never unfold entirely in the manner you expect, here are a few thoughts for the upcoming year. Loans outstanding declined on a full-year average basis in 2018, but were up at the end of 2018 by about one half of 1% from the end of 2017. This reflected a 13% decline in residential mortgage loans offset by 4% aggregate growth in the other loan portfolios. Average total loans for the fourth quarter of 2018 were down about one half of 1% from the fourth quarter of 2017 average with a 13% decline in residential real estate loans offset by aggregate 3% growth in the other portfolios. While as noted, commercial and industrial loan growth in the past quarter was notably stronger than any quarter over the past two years. Paydowns continue to be a wildcard. Our pipeline as we enter 2018 -- 2019 is consistent with or perhaps slightly better than it was at this point last year. The CRE market remains somewhat active, most notably in the multifamily and healthcare sectors. As was the case in 2018, CRE loan growth for the coming year will be dictated by the rate at which existing construction projects are funded, demand for new construction financing, as well as for permanent financing and construction project -- as construction projects reach completion. We expect continued runoff of the residential real estate portfolio likely at a consistent low double-digit pace. Although the dollar amount of the decline will continue to lessen as that portfolio gets smaller. And we continue to see attractive pricing in underwriting standards in the consumer area. Given these trends, our expectation for 2019 is that average total loans will grow on a full-year basis at a low single-digit pace. If the improved pace of C&I lending that M&T experienced in the fourth quarter continues, including slower paydowns, we could exceed that rate. As has been the case, since the Fed began to raise interest rates in late 2015, our outlook for the net interest margin is dependent on for the rate actions. A flat scenario should still lead to some expansion of the margin from 3.92% in the fourth quarter as the benefit from last year September and December Fed actions extended over a full calendar year. Any future rate actions by the Fed in 2019 should they occur, will potentially offer further moderate upside. Deposit pricing reactivity remains an area of focus and appears likely to be somewhat higher than in the past. As the Fed slows or halts its pace of short-term rate increases, there is a likelihood the deposit pricing pressures will continue for a period of time. That outlook excludes the potential impact from cash balances brought in through Wilmington Trust, which usually have an impact on the reported margin, but would have a lesser incremental effect on revenue. The level of cash on deposit at the Fed was higher at year-end than the average for the fourth quarter. Based on the current level of interest rates and reflecting the impact of the interest rate hedges we entered into last year, our estimate for a hypothetical future 25 basis point increase in short-term interest rates will bring a more modest benefit to the net interest margin that we’ve seen previously, perhaps in the area of 2 to 4 basis points. This embeds a series of assumptions on result on deposit pricing reactivity. Based on those balance in margin assumptions, we expect year-over-year growth in net interest income. The higher interest rate environment will likely continue to challenge residential mortgage banking in 2018, specifically with respect to residential mortgage loan originations. As we've noted previously, we have the capacity and appetite for additional owned MSR servicing or subservicing business. This could offer a potential offset to slower originations. The outlook for the remaining fee businesses remains consistent with our experience in 2018 with growth in the low single-digit range with the exception of trust revenues, which have been growing in a mid single-digit or better pace. Excluding the $135 million addition to the litigation reserve from full-year 2018's operating expenses, we expect low nominal growth in total operating expenses for 2019 over last year. As is our usual practice, we budget for modest positive operating leverage based on our revenue outlook. This includes the full-year benefit approximately $40 million from the elimination of the FDIC surcharge. We would remind you that we expect our usual seasonal increase in salaries and benefits in the first quarter of 2019, which primarily reflects annual equity incentive compensation as well as a handful of other items. Last year that increase was approximately $56 million. In each of the first quarter's of 2017 and 2018, we realized the benefit to our provision for income taxes when prior year equity grants vested at stock prices higher than the price at the grant date. At current levels, unless there's a meaningful rally in our stock price, we wouldn't expect a similar benefit in 2019's first quarter. Our outlook for credit remains balanced. We just completed our 5th consecutive year of net charge-off experience below 20 basis points. For each of the past four years, we’ve cautioned that the trend can't continue and that losses will tick upward, although not approaching long-term averages. I'll reiterate that outlook this year. Eventually I will get this right. There continue to be some modest pressures on nonperforming and criticized loans, but there are no apparent weaknesses in particular industries or geographies. Regarding taxes, our outlook for the effective tax rate for 2018 in the range of 25% to 26% proved to be conservative. An approximate rate of 25% is more appropriate for 2019, unless some discrete items occur during the coming year. As to capital, while the Fed implements its amended capital and stress testing rules for banks of our size, we will continue to execute our 2018 capital plan through the end of this year's second quarter. We expect final rules from the Fed in time for our 2019 capital plan. We expect to continue to manage our capital levels towards the lower end of our peer group as we believe our consistent approach to underwriting credit and the resultant low earnings volatility argues for maintaining our capital levels towards the lower end of that range maintained by our peers. Of course as you’re aware, our projections are subject to a number of uncertainties and various assumptions regarding national and regional economic growth, changes in interest rates, political events and other macroeconomic factors which may differ materially from what actually unfolds in the future. Now let's open the call to questions, before which Laurie will briefly review the instructions.
Operator: [Operator Instructions] Our first question comes from the line of Ken Zerbe of Morgan Stanley.
Ken Zerbe: Great. Thanks. Good morning.
Darren King: Good morning, Ken.
Ken Zerbe: I guess, maybe just starting off in terms of the very strong growth that we saw in C&I lending this quarter. Presumably some of the -- some of that seasonal like the auto dealer piece that you mentioned, but when you think about like going into 2019 or even where we stand today, is the environment changing? Is the dialogue with borrowers getting meaningfully better or is there something particularly unusual with this quarter that may slow in future quarters? Thanks.
Darren King: Sure. So there was normal seasonal uptick in our auto floor plan balances, which we had talked about on the third quarter call, that also benefited from a couple of large relationships that we on boarded during the quarter. So we would expect that number to stay around where it is at least for the first two quarters of the year. When we look outside of floor plan and we look at other C&I lending, we typically see a little bit more activity in the fourth quarter than we do in the other quarters, because year-end tends to drive things to completion. But when we look across industries and we look across geographies, it was broad-based, the uptick, which for us was encouraging and that it wasn't one sector or one geography driving the growth. And so I think there's -- I would say there's comfort from our customers perspective in the economy, but still a little bit of trepidation. And we’re hopeful that the dialogue that we saw in the fourth quarter continues into the first and second and through the year, but I guess remains to be seen, it's tough to draw conclusions off of just one quarter. And as we look underneath, we continue to see solid activity as it regards to payoffs and paydowns. And so it was really new originations that drove a lot of the growth in the quarter. And as we enter 2019 the pipelines are reasonably consistent, maybe even slightly above where they were last year. So, we're guardedly optimistic about the C&I in 2019.
Ken Zerbe: All right, great. And then just my other question I had, in terms of the trust demand deposits, obviously is non-interest-bearing grew quite a bit this quarter, which is great. How sustainable are those or what's the typical pattern, if there is a typical pattern for those? Thanks.
Darren King: Sure. So you’re right. Trust demand deposits were up sizably in the fourth quarter. We often see a little seasonality in those balances as well towards the end of the year. At least we’ve seen -- we saw that I think two years ago. Many of those will leave the balance sheet in the first quarter. Those tend to fluctuate depending on market activity that's going on. So we expect those will be down closer to the levels that we saw in the third and second quarters of 2018 as we enter the first half of 2019.
Ken Zerbe: Okay, perfect. Thank you very much.
Operator: Your next question comes from the line of John Pancari of Evercore ISI.
John Pancari: Good morning.
Darren King: Good morning, John.
John Pancari: On the -- back to the loan growth, regarding the fourth quarter trends, how much of a impact did you see in the quarter on the commercial side from the capital markets drying up a bit in December? And then separately, just trying to think about how to model out that commercial growth, would you say that 6% end of period year-over-year growth that you saw in commercial is something that could tail off a little bit from that? And is that baked into your guidance or could it be back towards the low single-digit range? Thanks.
Darren King: So when we look at C&I in the fourth quarter, I guess starting with the question about the capital markets, we did see a little bit of freeze up in some of the capital markets activity. But it didn't seem to affect our payoffs and paydowns levels in the fourth quarter. So my take on that is that many of the funds that are supplying credit that are nonbanks still had money and they were still lending and that any of the activity that was going on would have been new money that would have gone into the funds that isn't yet spoken for, except at the larger end of the customer range which is typically above where we would compete. When we look at the growth in the fourth quarter, as I mentioned, there always is a little bit of extra activity that seems to happen in the fourth quarter. So 6% to me feels really high and we're not anticipating that rate of growth would continue in 2019. We expect that to come down, we also expect to see some balances come off the balance sheet in the first half of the year. And so we're a little bit more moderated on our outlook for commercial balance growth in the year, closer to kind of the low single-digit growth that we've been talking about all the way along.
John Pancari: Got it. Okay. That’s helpful. And then, separately on the operating leverage side, I know you indicated that you still expect operating leverage for 2019. We saw, I guess on what we view is a core basis, maybe 350 to 400 basis points positive operating leverage for 2018. What type of -- what magnitude of leverage do you think we could see as you look at 2019?
Darren King: So when we talk about operating leverage, I guess it's important to make sure that we're all on the same page and what we're talking about and seeing. So when we talk about modest positive operating leverage, we exclude from the year-over-year calculations the $135 million that we added to the litigation reserve in 2018's first quarter. If you're looking on a GAAP basis then expenses will be down, but when you factor that out which we do, then we expect some modest expense growth even factoring in the FDIC, but we expect revenue growth to be slightly above that. And so we will expect some modest operating leverage obviously depending on rates that could be hot more or less, but based on as we look forward right now we think it's slightly positive.
John Pancari: Okay, got it. Thank you.
Operator: Your next question comes from the line of Steven Alexopoulos of JPMorgan.
Steven Alexopoulos: Hey, good morning, Darren.
Darren King: Good morning.
Steven Alexopoulos: I want to start on the NIM. So it's pretty fair you guys will benefit in the first quarter from the December hike, but given your comments for December deposit pressures to persist, the Fed does go on hold, how do you think NIM progresses for the rest of the year?
Darren King: So as we look forward right now, we think the first quarter NIM gets a little bit of benefit as we mentioned before from the full impact of the hike in December. And then you got to remember, I guess, there's a couple of things. We expect some of the cash balances to come down, so those impact the margin and will impact it positively as well as the day count in the first quarter also help the margin. So with those three factors, we're expecting an increase in the margin in the first quarter. From there when we look forward with no further actions by the Fed, we would expect to kind of be within a couple of basis points plus or minus of where we are in the first quarter through the rest of the year. And then, the question is obviously how the market reacts from a deposit pricing perspective in absence of any Fed increases. Typically deposit pricing continues for little bit after the Fed stops and so we're anticipating some of that. The caveat which I think is a little bit different is for many banks. They’ve got excess securities balances that we can look to, given the change in LCR that we anticipate from the new regulations and always the question is how loan growth behaves. And if it continues like the fourth quarter for everyone and probably be a little more deposit pricing pressure if it comes back to where we've seen in the first three quarters of the year then there is probably a little bit less pressure. So I know that gives you lots of things to think about and lot of things that are on our minds. So it's not exactly a straightforward question.
Steven Alexopoulos: That certainly helps. And then regarding the strong growth in C&I, quite a few other banks are pointing to customers using their cash balances right to fund expansion too. Can you give us a sense if we put the impact from the trust related deposits aside, like what did you see in noninterest bearing deposits this quarter? Thanks.
Darren King: Yes. So if you hold trust demand inside, our non-interest-bearing for the quarter was flat to maybe slightly down. And if you look underneath, there's some seasonality in non-interest-bearing balances that we see at M&T because of the commercial, the magnitude of the commercial noninterest-bearing that we hold and typically the commercial customers will hold deposits through the end of the year into January in anticipation of making distributions to their principles and paying taxes. So we also typically see a little bit of an outflow of noninterest bearing in the first quarter in the commercial side for those reasons and then they slowly grow over the course of the year. So, outside of trust, we are actually encouraged by the non-interest-bearing that we saw in the fourth quarter.
Steven Alexopoulos: Okay. But are you also seeing customers use noninterest bearing deposits of fund expansion?
Darren King: Yes, we're seeing some of that. We're also seeing them use their lines as a way to fund growth as well. I guess my take on it is the behavior. They got the line and rates are still relatively low. So they will fund something on the line and then make a decision about making it into more permanent term debt or using their cash to eliminate it. And so we’ve seen a little bit, but not a ton of use of the cash to invest. We've seen more if we see cash flowing out of accounts, it tends to be going from non-interest-bearing into interest-bearing accounts either on balance sheet or off.
Steven Alexopoulos: Okay, great. Thanks for all the color.
Operator: Your next question comes from the line of Julian Wellesley of Loomis Sayles.
Julian Wellesley: I have a question about middle-market lending competition. In the past you talked about frothiness in this area in terms of spreads or terms and conditions. How are you seeing things now?
Darren King: I don't think we've seen a material decrease in the competitiveness of the lending environment. I think we saw as an industry in the fourth quarter a couple of things. I think we saw a lot of activity that was pent up, that was trying to get done by the end of the year as well as maybe a slight pause in the nonbank markets, but as I mentioned before, we didn’t see a material slowdown in payoffs and paydowns. Pricing has been dropping. When we look at our pricing and spreads for the last couple of quarters, they seemed to have leveled off. So our take on that is that it was the impact of the tax reform, kind of working its way through pricing and it seems to have stabilized. And really when we see changes we were seeing, we continue to see covenant light things up there. If we see things on structure, we are seeing longer interest-only periods and maybe slight moves up in LTVs, but it was minor. So from our perspective the fourth quarter, it didn't get worse, but it didn’t really get better.
Julian Wellesley: Okay. Thank you.
Operator: Your next question comes from the line of Erika Najarian of Bank of America.
Erika Najarian: Hi. Good morning. I wanted to ask, Darren, a little bit more about the flexibility on the securities portfolio if you didn't have to adhere to LCR. I'm wondering if you could help us understand what the potential yield benefit would be or would you shrink your balance sheet and that would still be spread accretive?
Darren King: So within the securities portfolio, I think if you look at what our securities portfolio is today, it's still higher than where we were before liquidity coverage ratio became a requirement. And so, we will never take that down to zero because we do want that liquidity, but there's an option to look at that as one source to fund loan growth. And given the spreads here on securities versus the spreads on loans, shifting that mix would be a positive for our margin. If you look at what we've been doing with that book over the last few quarters as longer dated mortgage-backed securities of paydown, we've held that money in cash or invested in short-term treasuries just given where the rate environment has been. But we look -- we don’t have a specific plan for that portfolio this year per se, but we consider it amongst our options versus overnight funding versus brokered deposits versus bank debt and obviously customer deposit growth as an avenue to fund loan growth. And we're always thinking about the impact on the duration of the balance sheet as well as the cost of funds as we consider all those options.
Erika Najarian: Thank you for that. And just as a follow-up, as we think about the revenue outlook for 2019, if somehow it falls a little short of your budget, is there flex in your expense outlook or expense budget to be able to create positive operating leverage even if the revenue outlook is a little bit softer than what we're expecting today?
Darren King: Sure. Great question. I think the positive operating leverage comment, there's a number of things that could impact that. The biggest one is what happens with rates with the Fed and if they turn from raising to decline. If rates stay flat then we should be okay on positive operating leverage. But to answer your question, there is some flex in our expenses. It doesn't happen -- it doesn't turn on a dime, but over the course of a couple of quarters there are things that we have an ability to do to manage the pace of the expense growth. But we’re going to balance that off against the investments that we're making for the long-term of the bank. And if we have to sacrifice a little bit of operating leverage in the short-term to make the investments we need to for the bank for the future, we’re not going to worry about that too much.
Erika Najarian: Got it. And just one last question on the deposit repricing delay. How many quarters typically does it take after the last fed rate hike in terms of the repricing for the repricing to cease or significantly die down?
Darren King: If you use the past as an indication of the future, it's usually two to three quarters that can continue, but it also depends on what the reactivity has been up to that point. And so there's a lot of things that go into that and then the other question of course is how much loan demand is there and need for those funds. So that's kind of what we've seen in the past. I think there's reason to believe that there are couple of differences, one positive and one negative to that history in the current environment. But that’s kind of what we’ve seen in the past.
Erika Najarian: Got it. Thank you.
Operator: Your next question comes from the line of Peter Winter of Wedbush.
Peter Winter: Good morning, Darren.
Darren King: Good morning, Peter.
Peter Winter: I wanted to ask about credit quality. Obviously, it's very strong, but you’ve got nonperforming assets that increased a little bit two quarters in a row, you mentioned the criticized loans increasing. I’m just wondering if you can just give a little bit color there? And then, secondly, with the outlook for better loan growth next year or 2019, would you expect to start adding to reserves?
Darren King: Sure. So, I guess I started at the high-level and look at delinquency and where delinquency trends have been. We haven't seen anything that that gives us cause for concern in any of the books. We've seen a little bit of an increase as you noted in year-end in nonperformers and the allowance. Actually the allowance is pretty flat in nonperformers. And when we look under the covers of what's going on there, we continue to not really see any particular industry as it relates to C&I, any particular class of real estate as it relates to CRE, any particular geography from a consumer perspective that causes us concern. Now that said, where M&T and we’re paranoid. So we’re going back through the book again, to see if there's anything that we're missing. But generally as we’ve gone through the nonperformers, there are also couple of larger nonperformers in couple of larger criticize that we -- that I mentioned before, they’re very specific situations. So we’re comfortable with where things are, but we're M&T, so we are paranoid.
Peter Winter: Okay. And then just the -- possibly adding to reserves with a better outlook for loan growth this year?
Darren King: Yes, I mean, obviously we go through our allowance every quarter. And we've got a process that we follow every quarter looking at the grades of our loans and the charge-off rates and obviously we’ve a little higher loan growth that would be reasonable to expect that the provision would go up with it.
Peter Winter: Got it. Thanks, Darren.
Operator: Your next question comes from the line of Jeffrey Elliott of Autonomous Research.
Jeffrey Elliott: Hello. Thanks for taking the question. Another one on those criticized loans. Can you give us a bit more of a sense of the magnitude of the increase, just to give us a feel for how significant or not significant it is? And then, anything on the industry or types of loans, any kind of color around those that will be helpful? Thanks.
Darren King: Sure. It's going to be a couple of hundred million dollar increase in the quarter compared to third quarter. And within there, there's two or three large loans over $50 million that we've got our eye on. And it's a variety of industry and various different reasons why. In one case, we've got a company that has a debt service coverage ratio that got a little close to our trigger, but when we look at that company and we look through its income statement and we work with them, we can see that they’ve opportunities to change their expense profile and rectify that situation. When we look at another one, we see some excessive leverage that was helped by some of the non-bank financials. So, there's a story to each one and there are paths for them to not remain on that criticized list, but because we're doing our work and we’re watching what's going on, we put them on that list to make sure that we pay attention to it and try to keep them from becoming defaults.
Jeffrey Elliott: Understood. Thanks very much.
Operator: Your next question comes from the line of Frank Schiraldi of Sandler O'Neill.
Frank Schiraldi: Good morning.
Darren King: Good morning.
Frank Schiraldi: Just one question. Just on the -- this might be splitting hairs, Darren, but just in terms of the December rate hike that we already got, you talked about 2 to 4 basis points of benefit and if we get any additional rate hikes perhaps in 2019. And in the past you guys talked about 5 to 8 bps I think of benefit. So just wondering if December rate hike the benefit you’re likely to get in the first quarter from it, is that somewhere in between or is the 2 to 4 bps a good number to use there?
Darren King: That’s not a bad number to use, because we’ve gotten some benefit of it already, right, and we’ve talked about 5 to 8 before. So that’s probably a good number to use.
Frank Schiraldi: Okay, great. Thank you.
Operator: Your next question comes from the line of Gerard Cassidy of RBC.
Gerard Cassidy: Hi, Darren. How are you?
Darren King: Good. How are you, Gerard?
Gerard Cassidy: Good. Thank you. On your C&I loan growth that you saw this quarter, when you look at it, what percentage of it came from existing customers versus new customers that you won in the quarter?
Darren King: It's a great question. If you look at our loan book, we generally get the majority of our loan growth from our existing customers just because on a percentage basis of the portfolio that's where a lot of the growth comes from. We did see some new customer adds, particularly in New Jersey. We noted New Jersey as a strong growth market. I will remind everyone once again that it continues to be basically a de novo, so it's of a small base, but it was a really nice add in terms of what we refer to as prospect convergence in the quarter. But when you look in aggregate, the bulk tends to come from the existing customer base.
Gerard Cassidy: Very good. And then speaking of New Jersey, I think you said in your opening remarks you saw some good commercial real estate loan growth in New Jersey. Was that construction or mortgage -- commercial real estate term mortgage? And just what types of properties were you able to finance?
Darren King: So I don't have the specifics for New Jersey on those ones, Gerard, but the trend we saw in the quarter have seen for much of the year is activity in multifamily and in hotel space. So I would expect that in New Jersey we saw some of that, but just given our presence in New Jersey and the fact that we are growing out, I think it's a little bit broader that we would see some permanent mortgage business there as well.
Gerard Cassidy: And then lastly, obviously M&T has always distinguish itself on your ability to manage your capital, very effectively, granted the post financial crisis has changed that a bit. But once you come out of CCAR, what are the advantages that you guys are thinking you are going to have in terms of managing your capital, once you don’t have to go through the annual CCAR test?
Darren King: So we’re still waiting for final word on what all of this is going to mean, both in terms of what the process is with the regulators as well as whether the new stress capital buffer framework comes into effect. I guess, what -- we’re hopeful for is that we start to end up in a place a little bit like the LCR or where the LCR seems to be evolving and that its part of your normal supervisory process that you’re reviewing your position with the regulators, but you have a little bit more flexibility to manage that part of the balance sheet without some of the specifics of what you can do and how much you can do in any given time period. And I think we just look for the ability to be able to deploy our shareholders capital either into customer growth, if they need support and we want to be there to provide lending to help them grow their businesses. And when they're not able to do that, we want to be able to take that capital that we can't put to use in the business and return to the shareholders and kind of not have as many restrictions on how much we can return in any quarter that we can be a little bit more dynamic in how we manage the balance sheet.
Gerard Cassidy: Great. Thank you.
Operator: Your next question comes from the line of Matt O'Connor of Deutsche Bank.
Matt O'Connor: Hi. Good morning.
Darren King: Good morning.
Matt O'Connor: Just wonder if you could talk about how other bank CEOs are thinking about the stocks, the environment. Obviously, you have a lot of capital you’ve been acquired in the past, just wondering if a selloff in stocks and [indiscernible] assets in general and increased macro concerns maybe bring up some people to the table or think a little bit differently than say 3, 6 months ago?
Darren King: So, I guess I haven't spent a lot of time with other bank CEOs to know exactly what they’re thinking. But when you look at the market and what’s happened with bank stocks and with multiples, the whole industry is rerated down basically together. I think, we had a better December than some others did, but we’re still all relatively down. So for someone to think about selling or for acquisition that to work its about the difference between the buyer and the seller in some cases and the relative differences hasn't changed from what it was a few months ago. And I don't think we've heard too much where people are capitulating and thinking that the world is coming to an end and it's time to sell my bank.
Matt O'Connor: Okay. Thank you.
Operator: Your next question comes from the line of Christopher Spahr of Wells Fargo.
Christopher Spahr: Hi. Thank you. The treating line item, a pretty good pickup quarter actually compared to actually the last few years on a quarterly basis and you attributed to a pickup in C&I lending. Given your commentary on C&I lending going forward or just loan growth going forward, do you think that trading is a lot sustainable or will you kind of revert back to what we’ve seen in the last few years in trading?
Darren King: Yes, the trading tends to go and locks that with originations. And it's not just C&I lending originations that happened to have a big impact on the balance sheet this quarter, but originations continued in the quarter in both CRE and C&I, and both of those sectors will use swaps to manage their interest rate risk. And so the trading account should move in lockstep with loan origination activity, and so that moves up or down the trading revenue should move up or down as well.
Christopher Spahr: And just as a follow-up, the other commentary on fee revenues excluding kind of the trust, if that takes into account kind of that -- kind of outlook, correct?
Darren King: Yes.
Christopher Spahr: Right. Thank you.
Operator: Your final question comes from the line of Brian Klock of Keefe, Bruyette & Woods.
Brian Klock: Hey, good morning, Darren.
Darren King: Good morning, Brian.
Brian Klock: So I wanted to kind of follow-up on maybe you had a discussion earlier about some of the LCR and sort of thoughts going forward and managing your liquidity. I guess, looking at page 14 in your press release and the year-over-year '18 versus '17, the securities portfolio has come down quite a bit since 2017?
Darren King: Yes.
Brian Klock: And just thinking about it now and on an end of period basis at the end of the year, it's even below the fourth quarter average of $13 billion. So, I know you’ve had deposit runoff to some Hudson City time deposits etcetera. I guess, how do you think about that level of the securities portfolio in 2018? Do you think this is -- I guess, you got to use this just with other hedging and other telco strategies, but is this an area where this will grow from here or this where do you think it might stabilize at on the security side?
Darren King: Sure. So on that page, Brian, when we look at securities and the portfolio, we look at it in combination with the top line there, interest-bearing deposits at banks or cash asset [ph]. And when we have been seeing payoffs and paydowns of the securities portfolio, depending on where rates were, we've been holding some of that in cash because the rate were getting in cash is within 10 or 15 basis points of what you could get at one year treasuries. And within our securities portfolio, it's kind of had a bit of a barbell, if you will, between at mortgage-backed securities being kind of longer dated for rate and then the shorter end to manage duration. And so we've been just allowing some of the securities portfolio to go into cash and that's why you see some of those cash balances increasing. Some of it was absolutely because of growth in trust demand, but some of it is also just shifting between securities and cash. And so, if you look at the combined, they are down a little bit, but it's not as quite as dramatic as what the securities might look like on its own.
Brian Klock: Got it. So if I think about average earning assets in '19 versus '18, so that anything outside of loans whether it's the interest-bearing deposit Fed fund security, that’s going to be around maybe $19 billion on average which has seems like it's been in the last two years. So the earning asset growth could be higher than whatever you put into loan growth will grow your earning assets from the 106.8 that you had for 2018.
Darren King: Maybe, maybe not. So you could see switch between categories, right. You could see just within the loan book switch between mortgage versus the other categories because of that continued run down and then within the asset -- on the asset side of the balance sheet between securities and loan. So aggregate earning asset growth would -- might be flat to slightly down, depending on how we choose to fund some of the loan growth.
Brian Klock: Okay. And just a real follow -- quick follow-up question on the fee income guidance. So when you talked about the trust being mid single-digit, because there's a good momentum in that business. So would the mortgage banking be included with all the other in that low single-digit guide or is mortgage banking expected to be a little softer because some of the headwinds on originations?
Darren King: It's included with everything else.
Brian Klock: Okay. Thanks for your time, Darren.
Darren King: Sure, Brian.
Operator: Thank you. I will now return the call to Don MacLeod for any additional or closing remarks.
Don MacLeod: Again, thank you all for participating today. And as always, if clarification on any of the items on the call or news release is necessary, please contact our Investor Relations department at area code 716-842-5138.
Operator: Thank you for participating in the M&T Bank's fourth quarter and full-year 2018 earnings conference call. You may now disconnect.